Operator: Good morning ladies and gentlemen. Welcome to the Dream Unlimited Corp. Fourth Quarter 2016 Conference Call for Wednesday, March 1, 2017. During this call, management of Dream Unlimited Corp. may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Unlimited Corp's control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Unlimited Corp's filings with securities regulators, including its latest Annual Information Form and MD&A. These filings are also available on Dream Unlimited Corp's website at www.dream.ca. Later in the presentation, we will have a question-and-answer session. [Operator Instructions] Your host for today will be Mr. Michael Cooper, CRO of Dream Unlimited Corp. Mr. Cooper, please go ahead.
Michael Cooper: Thank you. Good morning and welcome to Dream's year-end conference call. With me is our Chief Financial Officer, Pauline Alimchandani who will speak to our financials now and I'll provide more general comments later. Pauline?
Pauline Alimchandani: Thank you, Michael and good morning. 2016 was a significant year for Dream even despite the lowest ever profit contribution in our history from our Western Canadian land and housing business. We generated a $135.6 million of pre-tax income in 2016, which was up from $74.9 million in 2015 after adjusting for the $127.3 million gain recognized from the reorganization of the management contract with Dream Office REIT last year. The largest reason for our strong financial performance in 2016 was attributable to our Toronto condominium and mixed-use business which delivered record margin contributions within our financial results. During the year we achieved 1,456 condominium closings, 711 at our share which was the highest volume in any year in our history. We generated $234.2 million of revenue and $41 million of net margins, a record high for the Company. In addition, we recognized approximately $35 million of development related management fees in 2016 from achieving successful project milestones. These fees could only be recognized in 2016 for financial statement purposes, but represent the efforts of our platform and resources over a many number of years. Including these fees, approximately $76 million of our 2016 pre-tax earnings or 56% was driven by our urban development activities. We continue to execute on opportunities to acquire land development sites for our Toronto condominium and mixed-use business, which are expected to commence over the next few years. These are in addition to launching projects over the next year on condominium lands already owned in our inventory within Riverside Square, Phase 2 of the Canary District and the Distillery District in Toronto. With respect to new investment, during the fourth quarter of 2016, we successfully secured a 12.5% investment in the development partnership to acquire a 5.3-acre waterfront property in downtown Toronto located at 351-369 Lakeshore Boulevard East. Dream Alternatives was an entity managed by Dream on the 37.5% equity interest in the development partnership. Together, with our 50% partner Great Gulf Residential, Dream will act as co-developer for the site. The Lakeshore East development represents an exceptional waterfront development site and is complementary to our existing development activities in east and our investment in the Distillery District, which is located just north of the site. We also entered into agreement to purchase the 31% ownership interest expected to be split 25/75 between Dream and Dream Alternatives in a 74-acre waterfront property in Mississauga Port Credit area with a consortium of partner. The property is expected to be redeveloped into a large master-planned residential mixed-use community. The transaction is expected to close next month, at which time more details of the project can be disclosed. We continue to build up our capabilities in this division to develop future projects. We are also actively bidding on condominium and mixed-use sites with Dream Alternatives with the intent that Dream be engaged as the lead or co-developer for market return. This has been the case for Lakeshore and expected to be the case for other projects including the Port Credit development. The Distillery District continues to become more and more valuable with an approximate $19 million fair value being recognized in the fourth quarter of 2016, for a total IFRS value of $111 million on our balance sheet and our share. We have begun planning our next condo building in the Distillery which should continue to add value to the neighborhood. We are also progressing with the Zibi development in Ottawa. We expect that we will have continued profitability in our condominium division as a result of our low cost plan, excellent location and our track record. 2017 however is expected to be a fairly quiet year for condo closing, with only one project, the Southwood existing of just over 100 units of which 50% is our Dream share expected to close in 2017. We expect lower profits in 2017 versus 2016 overall, because we don't have many condos being completed, however we are building up our backlog of projects that will contribute earnings in the future. Our 2016 land and housing results came in relatively in line with expectations. In 2016 we achieved 501 lot sales and 140 housing unit occupancies, all historically low volumes for Western Canadian business. We generated $37.2 million of margin from land, down from $42.7 million in the prior year and approximately one-half of where we would expect their steady state earning to be in future years, at least on getting back to 1400 lot sales per year. Our housing business generated losses of $6.8 million versus losses of $1.9 million in the prior year, these results were unfortunately in line with our expectations and we continued to drive forward advancing our pre-sales activity for 2017 to record level. We feel confident in prospects of our land and housing business in the years ahead, and then how we are setting up our policies and practices both operationally and financially to develop new communities and houses, although our 2016 results still reflected some noise from some legacy issues. All of these resulted from senior management decision to move forward from past issues and determining where to maximize our working capital and reduce our efforts in areas we didn't see much upside in investing additional time and resources. Unfortunately, we can make it difficult to explain the year-over-year results in our MD&A, however none of the issues are material to our quarter, fiscal year or our overall go-forward strategy for our Western Canadian business. We have recently repositioned our entire multifamily construction team outlet to focus on our retail and commercial developments, which would capture efficiencies and synergies over time. We continue to work on a longer-term strategy and model for a multifamily business, which will likely include joint venture partners. We expect to sell about 900 lots next year and operate the housing business for a profit. Of the 900 lots, we expect to sell next year about 570 have already been secured as pre-sale commitment. 2016 is expected to be the last year of losses within the housing division, although the division will likely not be profitable until the second half of 2017. Our Western Canadian retail project continue to progress on schedule. We are expecting to earn a development yield on cost of 7.6% which is an attractive return. At the end of the year, Dream's active retail projects under construction were recorded on the balance sheet of $77 million, inclusive of $15 million in cumulative fair value gain already recognized to-date. Our estimated value upon their respective completing date is expected to be approximately $154 million using cap rates in the range of 6% to 6.25%. That means, we cumulatively expect to realize fair value gains of $92 million between 2015 till 2020 or an average of approximately $15 million per year before starting any new projects which we intend to do. We believe our retail division has the ability to generate excellent returns for our business and the operating income from properties once stabilized will continue to become more significant to our reoccurring income business over time. A-Basin our ski hill in Colorado continue to outperform in 2016, generating $5.8 million in net margin up $2.3 million or 66% from the prior year. A-Basin continues to be a growing source of reoccurring income for Dream, as skier visits and yield per skier increase year-over-year. Total fees from asset management were $52.9 million in 2016, up 85% from the prior year. The year-over-year increase is due to the recognition of development management fees, relating to achieving project milestones, partially offset by lower acquisition fees from REIT and lower base fee from the re-orders of the asset management contract which occurred in April of the prior year. Net margin as a percentage of revenues was 85.5% in 2016, up from 76.1% in 2015 with the increase driven by a higher margin on development fees as many of the personnel costs are incurred in prior period with no resulting revenue recognized until successful development milestones are achieved. Our G&A in 2016 was $20.5 million, up from $16.2 million in the prior but included about $4.6 million in non-re-occurring charges, which is excluded what has made our G&A more convertible year-over-year. Our 2016 expense included an operational enhancement charge of $1.7 million related to our shares services platform with REIT. In conjunction with realizing the annual saving, from our operational enhancement, we would expect our G&A to decrease in 2017, all else equal. In terms of our balance sheet in the fourth quarter of 2016, we renewed our $290 million operating lines with a syndicate of Canadian financial institution. As part of the renewal, the maturity date of the facility was extended from June of 2017 to January 2019. At the end of the year, we had $117.2 million of undrawn credit availability on our operating line, providing the Company with ample access liquidity even before considering our unencumbered assets held. During and subsequent to the year-end, we purchased approximately 3.1 million units in Dream Office REIT for a total cost of $59 million and 4.4 million in Dream Alternative for a total cost of $24.2 million. As of today, Dream holds a total of 6.3 million units in Dream Alternatives, representing an ownership interest of approximately 9% and a total of 9.1 million units in Dream Office, representing an ownership interest of 8%. The total fair value unit held by Dream in the publicly listed funds, collectively Dream Office, Dream Global and Dream Alternative is in excess of $260 million representing over one-third of the Company's total market capitalization. As of December 31, our debt to total asset ratio was a conservative 31.7% relatively stable to the prior year. Overall, it has been an exciting and productive year for our business across all our divisions and we look forward to continue to generating value in the business in 2017 and the years ahead. With that, I will now turn the call back over to Michael.
Michael Cooper: Thank you, Pauline. During the last 12 months, Dream has finished one phase of its evolution, entered another. We completed the Pan Am Athletes Village and converted to the Canary District. We completed the first phase of our reorganization of land housing business. We acquired great sites in Toronto to redevelop. Alternative Trust has transitioned into encompass growth business with first of the original development being completed this year, which generates high investment returns and significant [indiscernible] and then we have a latter development to follow that will keep the cash flow coming for the next 10 years. With regard to the REIT, Dream Office has progressed through its major reconstruction and Dream is a significant unit holder and it is a strategic investment. Dream Global had an exceptional year and is well positioned with its asset management opportunities for a great future. Dream Industrial is a little behind the other two on strategy, but is in a good shape and we are exploring additional strategies to make the business more valuable. I believe this majority of the restructuring positioning of our business to adapt the changes in the priorities, sluggish office demand and a very strong Toronto residential market has been completed. We will continue to make improvements in every part of our business. However, at this point they will likely be incremental. Now that the major repositioning is complete, our focus is on existing operations and how to generate higher margins from each our businesses and increase volumes in a sustainable manner to grow our profits. I thought it may be helpful to provide context for investments and how the diversification, creates the Company which used to be. Our Western Canadian land and housing business is our historically most significant business. We have acquired long-term land banks that will provide future growth for the cities where they are located. Land is a key for all developments and we believe owning the land provides us with the option to deciding what building we want to be part of. We expect to develop more land by dollar value in our western markets that we acquire, as we generally have land where we want, and we only had some new lands from time-to-time. Aside from the land development and housing businesses, we are now building out retail developments on our land. We are close to commencing building of commercial development, including some office in our communities. We're looking for our land development business to provide recurring cash flow each year, and for our building business result an increase in recurring income for our completed commercial properties, in addition to the gradual value gains that come as we intensify the communities. Each year investment property will grow, as will the income that they generate. Since we went public, our investment properties on our balance sheet have increased from $53 million to $238 million or from 5% of our assets to 14%, and we expect this pace of growth to continue. In addition to our income properties, we also have recurring income from a renewable power group and ski hill. We've re-made our housing division in every way and we are now looking to see the margins comes through our income statement as we have designed rate offerings, our costs are down and we are achieving reasonable margins on our sales of our newly designed homes. With increased volume, we expect to see decent performance from this division again. Our urban group, as Pauline mentioned now has land for over 8,000 condo units with 6,000 being in the Toronto area. We've identified great opportunities in the city with partners and on our own. 2016 was our greatest year ever with the completion of the Canary District and almost every other project we had under development. We have also started new projects and have our best projects yet to come. On average, we expect this group to grow and also to add more recurring income as we develop highly sought after income properties within our Toronto and Ottawa developments. The urban development group uses little equity for the size of the business and the returns have been quite high. As such we believe it is a good idea to invest more in this area. We've come to look at our asset management business in combination with our equity in the managed businesses. Altogether, we have about $500 million of value in this group with public securities of about $260 million. We are managing major strategic change to Dream Office, with the sale of high yielding lower quality assets, and is still in the business to its core. With the difficult office market across almost all markets in the country, except for downtown Toronto, we think it's the rights strategy for the long-term. It is a painful process as our cash flow declines, but on the net asset value basis, we believe that the values increased by selling the assets with less future value. Between Dream and myself, we own just over 10 million units. We believe that we're rewarding to only units once we complete the process as the chance to own difficult to acquire properties primarily in downtown Toronto. The change that we are making are difficult and made it uncomfortable two years as we work our way through the dispositions But we have confidence, we'll have a much better offices in few years than we have now. We are very pleased with the combination of business that we own and the characteristic of the cash flow. The land business is an incredible store of value. We've made money every year, even though the housing starts in our markets have declined by 65% recently. When the market improves, we will see significant growth in income. However, even the slow market we are gaining market share. We expect to have most lot sales in 2017 than we've had since 2013. As the market has not grown, this increases our market share. To supplement our income from every acre of land we participate in certain development activities. We have always participated in building houses in our lands, we target about 25% of the total houses built on our land rebuilt by us. The housing market is changing and larger builder who have a pipeline of loss, who are good at meeting customer's expectations at low cost are winning. We are well positioned to be competitive now. In addition we are building 100% of the retail on our land and we expect to participate in multifamily and commercial to some extent. We've grown our income properties rapidly and we like the value gain from development and then the accompanying recurring income and anticipated increase in value as the communities have more and more people. With recurring cash from our asset management businesses, our investment other managed entities in the ski area, we will continue to increase the stability of our business. The urban development business is a high return business and we generally expect the business to generate more funds than we reinvest as the equity and our investments generally double every four years. We have partnered with Alternatives trust, so we increased the returns of the trust from our area of expertise, and also because it provides us virtually unlimited capital to invest in developments and benefit from the very exciting returns. In addition to the cash profit from our urban development, we are also beginning to increase our income properties from primarily retail to a less extent Office in the Distillery, Zibi in Ottawa. As we have generally, the equity, we require our ongoing activities we are quite focused on where we should invest our next dollar. Our first priority is to establish and maintain tremendous liquidity and cash and use borrowing capacity and our unencumbered assets. We are pleased with our current position, and we intend to increase – to continue to increase our liquidity over time. Over the longer-term, we expect we'll have share outstanding than we do now. However, we see strategic investment and high returning investments generating more valuable than buying back stock for a number of reasons. We've been acquiring stock in Dream Alternative trust over the last year. Our real strategic investment is multifold. First, when we went public, we said, we will invest $50 million of business by participating in new issues. We have not been able to grow the business, but we believe that it is appropriate to be aligned with the other investors. In addition, the business has been trading at almost as big discount as we've been limited, so it's clearly an attractive net asset value investment. Also we've been co-investing developments, which has mean that Dream has not had to use much capital for the land and that the Alternative Trust has improved by the fantastic investments. The land that we're developing with the Trust are exceptional and hope that they will continue to add to the Trust value to the point that we can grow the business when that value gets recognized by the public. We've also been acquiring stocks in Dream Office. We own over 9 million shares currently and believe that the core portfolio of the assets that we would like to own. The construction of the business is a huge undertaking and we are believers. When we are complete, I think that there will be good value in the business and as its equity base shrinks, we'll become large owners in the business itself. Taken the current income and the value that we are adding to the business, we expect the mid-teen return over the next three years. The optionality of our investments, the rate of carrying these strategic assets, make these investment attractive to our mid to long-term plan for the business. We are often asked about our Ski area and whether it's non-core and whether we should sell it to buy back stock. We acquired the ski area in 1997 was generating $500,000 of EBITDA. As recently as three years ago, we generated $4 million of EBITDA. This past year, we generated, this past year, we generated about $8 million of EBITDA, results of the improvements that we've made to the business and the changes in the fundamentals of the ski business. This past November, Arapahoe Basin received approval to expand into an area called the Beavers and The Steep Gullies. The terrain is just what it sounds like. This is like off-peak skiing and some of the steepest terrain in any ski in North America adding to the allure of the A-Basin experience. This expansion of the ski area will take two areas. We'll add 40% more terrain to our ski area and should increase our EBITDA to over $10 million. In addition we believe, we believe its expansion, will result in the ski area being even more competitive with the surrounding big resorts. We expect to be able to not only grow our skiers per year from 450,000 to over 500,000 but also to increase the yield on every skier. I don't know if it's core asset or not, but it is growing cash flow and value much faster than the average of our business and we would like more investments like this wherever we can find them. Another bit of news that we acquired, we acquired a 73-acre site which is owned employment land adjacent to the Kipling Subway stop and a Metrolinx hub. What was unexpected is that we are opposed by the city and told that this line is essential for the upgrade to Bloor-Danforth Subway line. We do not know whether we will be able to develop these land, but we are close – we are working closely with the city to achieve the best outcome for both the city and us. Lastly, we were able to complete the first phase of Canary District in 2016. We achieved the profit on quality of the community we saw. Since then, we've launched our first building in Phase 2 and we expect it will also be a great building for the community and quite profitable. We are also awaiting approval for this exceptional building in the Distillery District, with new lease we believe will be sought after, and we'll be of scale that uncouple with all the improvements we made to our development process will be the single-most profitable building we have developed to-date. We have land for condo developments in Dream for too less, more building to Canary district and another one again in Distillery. We own 12% of the Lakeshore development, that's Lakeshore in downturn Toronto on the water and about 8% of the 74-acre Mississauga development that we expect to close on this month. In addition, we are excited about the Zibi project in Ottawa and expect to have more update later this year. We believe that all these projects will be more profitable than many of the past projects. I hope that our summary is a benefit to you understanding the company. We believe the active mix is very good to balance liquidity income and value creation. We will be happy to answer any questions you would have at this time.
Operator: [Operator Instructions]. And our first question is from Mark Rothschild of Canaccord Genuity. Please go ahead.
Mark Rothschild: Thanks and good morning. Maybe starting with the land development, the backlog that you disclosed, do you expect all of that to be filled in 2017, and should we expect that number to grow during the year, or is that pretty much and indication of what you expect to sell during the year? And as well, should we – are there any, do you have a backlog for acre sales or does that work differently?
Michael Cooper: The pre-sales of having loss, those are for 2017, all of them. And the way we develop those to get pre-sales for 2018 later in the year. In addition to those launch, any house that we build and sell this year won't be included. Our lot sales in Edmonton are almost entirely not included in that number. So, it's the other lot that are not included in pre-sales that will get us to the 900 that Pauline mentioned. In regards to acres, we have 15 pre-sales, but its' a different kind of business, it's not as easy to get pre-sales and have the visibility on it.
Mark Rothschild: Okay. With the retail developments, I noticed that you have a 50% of the new Brighton retail development. But it was nothing new that you sold the half interest and I am not sure if that was – something that was kind of a while ago and maybe you can just talk about the strategy with the retail platform, is it to own half interest in shopping centers or if it's a own all of it generalize this – is this property different?
Michael Cooper: Everybody in the room is smiling. The reason why we own 50% of that is because basically the road that comes into the entire development comes through the Wilson Bros greenhouse. And we did a deal with them so that we can commence development and part of that deal was we would be partners in the retail center. They've been great partners and it was a special situation.
Mark Rothschild: Okay. And then you've extended the line in 2016, so you have a couple of years, it's not like there is anything maturing in the near-term, but there is a decent amount out on that [indiscernible] of line. Is paying down the line of priority at all over the next year, so I am just trying to understand about your uses of your free cash flow are as far as whether it's buying unit in other – in some of the Dream resort[ph] and Dream Alternative or as paying down there something that you're focused on?
Michael Cooper: Yeah. We would like to have more room in the future. I think Pauline is targeting at least $140 million of room on that line. So yeah, like as I said, the liquidity is pretty important. So we should have enough room to do a lot of things including buying some stock back and turning over the capital we get from sales of condos, land and reinvestment in some condos and land and some units, so just build our business generally. But yeah, we want to do all three.
Mark Rothschild: Okay, great. And just one last small question, what's the expected cost to expand the field?
Michael Cooper: $5 million.
Mark Rothschild: Okay, great. Thank you very much.
Michael Cooper: Thank you.
Operator: Thank you. Our next question is from Sam Damiani of TD Securities. Please go ahead.
Sam Damiani: Thank you and good morning
Michael Cooper: Good morning, Sam.
Sam Damiani: So, just on your comment Michael about less shares over time, and then answering Mark's question you mentioned also the prospect for buying back stock. Where there any, I didn't notice in the MD&A this morning, but where there any buybacks in 2016 or in the year-to-date in 2017?
Michael Cooper: There were some buybacks in the first quarter of 2016, it was very small. We were having some serious debate about this at the board level. Just to give you example of the kind of discussion we have. If we are able to invest $1 today at a 13% compounded return for five years which is much less than most of our projects. That puts us in a position in five years to be able to buy the stock at less than $12.89 and I've done better by investing a 13% IRR. So, I know that it might be the most important thing in the world is how much stock you buyback. We keep going out and we think the math is quite favorable for building out our strategic platform and buying back some stock. But I'm happy, I'm happy to spend as much time as people want to on this, I think it's really interesting because it's not a one-time sale for us. I think the real question is, what do you think this stock will cost in the future compared to the capital you get back in these developments and whether you are ahead or behind?
Sam Damiani: So it's a balanced approach. You'd look constantly look at that and make decision not to go. And so, the idea of the dividend in the future where does that sort of sit in the priority stack?
Michael Cooper: It really doesn't come up. I mean I don't know what a given policy should be. I just think that what we're doing. We have usage for capital to make the company stronger and stronger and the dividend would be had a much more subsequent date. One thing I will say is that at yesterday's board meeting, we did discuss the strategy for buying back stock and incorporating it into how capital in the future. I just think that we would do it in a measured way.
Sam Damiani: Okay. Just flipping over Western Canada, what is the update on Providence in terms of the timing of the Ring Road again and the potential for the East, sort of corner of your lands there to get developed in the near term?
Michael Cooper: So, it is absolutely great to see that the road is being built now and it's an amazing amount of construction, I think in some parts and in some points they're working 24 hours a day. It's hard to express a significance of people seeing this happen. I think for a long-time people didn't believe it, even want the deal to be made. I believe that Ring Road has to be completed in 2021 and the expectations will be open in 2020. That Ring Road has three exits that open – that you know you get off the highway and you're on our land. So we think that without much infrastructure there is a tremendous desire to get our lands going. Every year for 20 years, we tried to get the land approved this year and this year is no exception. However, we have a much, much stronger case. They get it approved. The city is very excited about the development and we are hoping that we can get that first part in production next year.
Sam Damiani: So you are still hopeful? Okay.
Michael Cooper: Always hopeful, Sam. 20 years and every year the land has gone up. So, it's not working according to plan, but it's working.
Sam Damiani: Other ways for sure.
Michael Cooper: Daniel Marinovic is in the room and he's saying no, no, we're the closest now ever.
Sam Damiani: Closest now ever, fantastic.
Michael Cooper: But I would say, there is a lot of people who has been in this position said that too. But there is no doubt that this piece of land is the most phenomenal piece of land we own. There is no doubt that development is imminent and to be blunt about it, [indiscernible] whether it happens in the first quarter or the second quarter next year, I think is happening very soon.
Sam Damiani: Yeah, perfect. Okay. Just switching over to the asset management fees, Pauline mentioned these milestone completion fees in fiscal 2016 and in Q4, do you expect more of those in 2017?
Pauline Alimchandani: Not to the same extent. I think that if you modeled in $5 million a year, I think for now that's a deep enough estimate.
Michael Cooper: I would add to Pauline's answer that as we ramp up our development business, we are having higher fees. There is a whole higher fee income. The way that the Pan Am gain was brought in, some – other things, everything happened at one time. We would have them happen much slower.
Sam Damiani: Okay. Thank you.
Operator: Thank you. [Operator Instruction]. Our next question is from Dean Wilkinson of CIBC. Please go ahead.
Dean Wilkinson: Thanks. Good morning, everybody.
Michael Cooper: Good morning.
Dean Wilkinson: Michael on the 570 lots that are contracted for sale, are those mostly going to be a Q1 closing?
Michael Cooper: No. Firstly, those are the lands that we have deposits on.
Dean Wilkinson: Okay.
Michael Cooper: And they are most likely to be closed in the fourth quarter because we have to – actually do the land development first.
Dean Wilkinson: Okay. I get it. And are those sold…
Michael Cooper: What we did was we're now getting deposits a year in advance than how we're used to. We would expect this fall, we would deal with our building partners and work on what they need for the next year. We're working much closer with our builders and a much stronger relationship and we're just going to continue going through pre-sales.
Dean Wilkinson: Got it. And how many builders does that represent in the 570.
Michael Cooper: 12 maybe, maybe 14.
Dean Wilkinson: It's pretty well spread out then.
Michael Cooper: Well, do keep in mind, that's through multiple developments. So, some like Crossfield – basically crossing that's two, and Brighton is probably six or seven.
Dean Wilkinson: All right. May be, but there is no one individual builder who represents the majority of that amount.
Michael Cooper: No. I mean other than us, but we don't. We are the biggest builder on our land.
Dean Wilkinson: Great. Got it. Okay. And just question on the retail. Pauline, the book value is currently $77 million and you've got sort of an expected values, they had 20-20 of $154. What's left to be spent over the next sort of three, four years to get you there?
Pauline Alimchandani: Yes. So, I think all of that is disclosed in the MD&A, I'm just going to find the page reference for you. So, we have cost to complete roughly at $58 million marked on those developments.
Dean Wilkinson: $58 million is left to go. Okay.
Pauline Alimchandani: And that's on Page 28 for reference.
Dean Wilkinson: Perfectly. I got the number, I just didn't see the cost to complete. And then just a question, Michael, the deal with the Mosaic Stadium, is that a naming thing, or are you involved in the construction, what exactly is that?
Michael Cooper: We're the building partner and it's about representing ourselves in the in Saskatchewan with I don't know the very important Roughriders. There is a bunch of benefit to come with it in terms of advertising and being able to relate to our customers, but it's…
Dean Wilkinson: It's not a capital commitment?
Michael Cooper: No.
Dean Wilkinson: Okay. Alright.
Michael Cooper: It's a sponsorship commitment.
Dean Wilkinson: Got it. Okay, that's easy enough. And just a final question from me is for Pauline on the G&A, sort of back out that $1.7 million, it looks like the salary line item within G&A is sort of up by $1 million, but is that a direct offset from sort of the salaries in the asset management advisory side being down by a $1 million? Like, should I look it at that way or…
Pauline Alimchandani: I think on the overall and in our G&A should be roughly $15 million per year. I don't have it in front of me, but I can get back to you on what the salary component of that $15 million would be. It would be slightly lower than last year, because of the operational with that we went through, but why don't I follow-up with you after the call.
Dean Wilkinson: Okay that works. That's it from me. Thanks everyone.
Operator: Thank you. And we do have a follow-up from Sam Damiani of TD Securities. Please go ahead.
Sam Damiani: Thank you. Just on your outlook for this year, 900 lots, which communities were source of the biggest increases year-over-year?
Michael Cooper: Eastbrook in Regina is a new community. Having said that, you know Harbour Landing is finishing up, but Eastbrook is a big contributor. What I find most encouraging about the 900 lots is, as we are improving our community, people want to be there more. We're increasing our market share. There was an earlier question about Providence. Providence is a net new addition and that will be fantastic and I think this adds to the 900. And we just got our lands is f Beaumont annex to the city. We're going to go on that hopefully soon. So, I think that given a flat housing starting, we could see even more growth inline and we think we're going to see over the next 24 months, increases in housing starts.
Sam Damiani: Did you give guidance, Pauline for housing unit?
Pauline Alimchandani: We haven't. We would expect our housing occupancies to be a lot higher next year. I think in the range of 250 to 300 is probably a reasonable expectation for now, but we'll update that as probably through the next quarter.
Michael Cooper: I would say, so that we don't get confused. I think land and housing has a lot of good things going on. Last year we sold a 172 acres to the Province of Alberta for the road. We won't have that this year. There is – we sold all the condos we owned, we developed in 2016. So there is a lot of improvement, but in a way, our business is such that we work on things for number of years and they come to the income statement. 2017 is a pretty low year for those one-time things.
Sam Damiani: Sure. And then you mentioned sort of a steady state feature of 1,400 lots, what would be the timing of that? Is that like 2018, 2019, sometime in the future beyond that?
Michael Cooper: So there is a debate going on Sam, and it looks like the average is 2019, but it range from 2018 to 2020. At least the CFO is on the pessimistic side.
Sam Damiani: And just Pauline you mentioned Southwood closing this year, what quarter would that close in?
Pauline Alimchandani: I think it's between Q2, Q3. But, I mean the timing of – the timing can always be delayed, but that's what we have in right now.
Sam Damiani: Very good. Thank you.
Michael Cooper: Thank you Sam.
Operator: Thank you. We have no further questions. I will now turn the call back over to Mr. Michael Cooper.
Michael Cooper: I want to thank everybody listening and the three analyst asking questions. I hope that each quarter that goes by you feel that you have a better understanding of the business. We're pleased with this progress and we really appreciate your continued interest and support. So thank you. Bye-bye.
Operator: Thank you. And thank you ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.